Operator: Good morning, ladies and gentleman and thank you for standing by. Welcome to Liberty Global's Investor Call. This call and the associated webcast are the property of Liberty Global and any redistribution, retransmission or rebroadcast of this call or webcast in any form without the expressed written consent of Liberty Global is strictly prohibited. At this time, all participants are in a listen-only mode. Following today's formal presentation, instructions will be given for a question-and-answer session. As a reminder, this conference call is being recorded on this date, February 27, 2008. I would now like to turn the conference over to Mr. Mike Fries, President and CEO of Liberty Global. Please go ahead, sir.
Michael T. Fries - President and Chief Executive Officer: Alright, thank you and welcome everybody. Let me just take a moment to let you know who's on the call. As usual, Bernie Dvorak and Charlie Bracken, our co-CFO's; Gene Musselman, who heads UPC; Mauricio Ramos, President of BTR and Graham Hollis, who Overseas Japan are also on the call, and we have Rick Westerman I think you all know from IR, Shane O'Neill Head of Strategy and who runs Chellomedia and of course, Liz Markowski, our General Counsel, who will keep us on the straight and narrow. Let me go back to the Safe Harbor Statement. Let some more people more dial in then we'll get to the call.
Operator: Thank you. Page two of the slides details the company's Safe Harbor statement regarding forward-looking statements. Today's presentation will include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including with respect to Liberty Global's 2008 guidance target, future growth prospects, rollout of advanced services, borrowing availability and cash taxes, its expectations regarding competition and M&A activity and other statements that are not historical facts. These forward-looking statements involve certain risks and uncertainties that could cause actual results to differ materially from those expressed or implied by these statements. These risks and uncertainties include those detailed from time to time in Liberty Global's filings with the Securities and Exchange Commission, including its most recent file Form 10-K. Liberty Global disclaims any obligation to update or revise any of these forward-looking statements to reflect any change in its expectations or in the conditions on which any such statement is based. I would now like to turn the call back over to Mr. Mike Fries.
Michael T. Fries - President and Chief Executive Officer: Thank you. Well, as usual you may use slides here and I am on slide four entitled 2007 highlights. I'm going to trying to keep my remarks brief, because the plan is to try and let some of the other operating execs comment on their businesses in a little bit detail. You will see that from the slides. If you're looking at the slide, you will notice our three strategic value driver. On the right the ever present virtuous circles and I am sure some of you might be tired of hearing about it. We are starting to sound like a broken record, but once again all three of these strategic initiatives delivered in 2007. Beginning with operating cash flow growth, really the foundation of our story, our rebased operating cash growth was up 16% for the year, and that's excluding FX and Telenet and 17% in the fourth quarter on that same basis. So, of course those numbers are right in the heart of our guidance and you will hear a little later that we're forecasting similar mid-teen results for 2008. On the M&A front, we had relatively quiet year I'd say, which is fine, since our really know must have deals in our strategic plan. We did complete one large transaction, the acquisition of the controlling interest in Telenet and a handful of smaller in-field deals that are added around 200,000 RGUs. On the sales side, I don't think we could be happier with the rationalization of our interest in our Japanese shopping channel. Our timing was clearly very good on that the deal and we generated about $750 million of cash. And looking forward, I'd say the plan is to be patient on M&A opportunities, until the credit markets stabilize or sellers get panicky, both of which are hard to predict. It doesn't looks to us like much will get done at least in the larger markets. In the mean time, we'll remain opportunistic and continue to explore smaller deals from some emerging markets that we think could create value for us down the road. And then lastly, the anchor of our three-part strategic plan if you will is of course our management of the capital structure. And I'll start with the balance sheet here. I couldn't be prouder of our treasury team in the last year. We completed a number of large refinancings in the first half of the year on great terms and then in the second half of the year, really in the teeth of the crunch, reeled off three very unique debt transactions at Austar, Telenet and the holding company for our Japanese interest. That netted us over $1.2 billion of cash. So as a result, our liquidity continues to rise with $2 billion in cash at year-end and additional $3 billion in borrowing availability. And as you know, much of that liquidity is going right back into our own stock. We repurchased $1.9 billion of equity last year. And including purchases in 2008, over $4 billion in the last two and half years, reducing our shares outstanding by about 27%, and we can't find a reason really to alter that path. In fact, we've purchased over 900 million of our stock since our third quarter call. We're about 7% of our equity and announced yesterday, I am sure you all saw another additional 500 million of authorized buyback capital. So we are staying the course, leveraged at operating growth, aggressive management of our capital structure and a commitment to driving equity turn by buying back the assets we know best of our own stock. If you turn to slide 5, it lays out the basic numbers for you. I think really there are three key takeaways here. First, it is the fact that we continue to build scale. We now serve over 24 million RGUs and 16 million customers. Those numbers are up 24% and 17% from last year, help in part by our ability to keep consolidating our position as the largest operator in the vast majority of our markets. And we are starting to see the benefits of the scale, enhance our margins and profitability and more on that later. Second point is we continued to deliver consistent operating growth. We've talked in the past about the key growth drivers for us. First, adding high margin voice and data subs and second, driving the revenues to enhance digital TV, it's that simple. On the first point, we added 1.52 million voice and data subs last year on an organic basis. That's roughly the same as we did in 2006, and we think we can continue this pace into 2008. The difference between that 1.52 million number and the 1.45 million number you see on the side is due to loss of 77,000 video subs, all of which can be attributed to one market Romania. In fact, without which actually we would reported a net gain in video on a consolidated basis. On the second point, digital TV, we had a 900,000 digital TV subs last year and we are driving ARPUs to advance services almost everywhere. And of course this growth underpins are year-end revenue of $9 billion and our operating cash flow of $3.6 billion. And the last point is profitability. Bernie is going to show you the slide later detailing what we have started to call our OCF drop, where every incremental dollar of organic revenue last year dropped around $0.65 to the operating cash flow line. We think that's best-in-class and obviously a big contributor to our increasing operating cash flow margins, which finished the year just under 40% compared to 36% in 2006. So we like this combination, increasing scale supports above average operating growth and drives increasing profitability for us. Before I hand it over for a quick regional overview, I'll just make a few general remarks about subscriber growth in our products on slide six. And the first point is that we're really starting to move the needle on digital cable. Total RGUs are now 3.4 million and penetration stands at 25%. That's up from around 10%, 24 months ago. We are now ruled out of 13 of our 15 markets, and happy to say achieving great milestones every quarter like 67% digital penetration in Japan, 100% increase in digital ARPU in the Netherlands, well above budget growth in markets like Switzerland and HD-PVR, and VoD rollouts. In fact, by the middle of '08 we will have digital available in all 15 markets with 11 of those offering in the advanced services and nearly half offering all three of the killer APPS, HD-DVR, and VoD. And the second point is that broadband data continued to be steady performer for us. It's driving great gross margins and operating cash flow. We added 780,000 organic RGUs last year bringing total broadband subs to $5.4 million or 21 % penetration and that's up from 16% penetration just two years ago. And our growth in this product is really attributable to our ability and willingness to drive broadband speeds faster than our DSL competitors. We now operate data tiers of 20 megabits or more in eight of our 11 European markets in Japan. We've already rolled out 116 meg product. And we are on pace to rollout in the later part of this year. And lastly on Voice, we continued to pick up the pace across all of our markets. We did 740,000 organic net adds in '07 and that compares to 609,000 in '06 and 416,000 in '05. So we are now serving 3.9 million of Voice subs, representing a penetration rate of 16% and that penetration has fluctuated as we have added Home Serviceable. Our most penetrated market continued to be Chile, at around 34% and we are approaching 20% in our large European countries like Holland and Switzerland and Austria, and we believe there is plenty of run-way in markets like Central and Eastern Europe, which still is at single digits. I'll point out at 90%... 97% of our Voice customers are bundled customers. So the basic strata growth plan we think is in tact is working with driving RGU volumes in our high margin voice and data products and we are driving ARPU growth in the video base really with the rollout of our digital TV services, which is just now picking up steam. I'll do one more slide before heading off to slide 7. We talk a lot about bundling... have talked a lot of bundling for some time. And in markets like Chile and Japan, we are actually setting what I believe is the high watermark and with double- and triple-play penetration. The chart shows you where we are on a consolidated basis. On the left, you can see our bundled customer account, at $5.4 million and that's up about 80% from two years ago. On the right, you can see our triple-play subs, now totaled 2.5 million and were up 50% just last year. And the whole point of this is obviously to drive customer ARPUS or revenue per household and we're doing that. So our customer ARPU is up $39 from just under $33 two years ago. And as you dig down or look at the operating company level, we're generally growing customer ARPUs north of 5% just about everywhere. We expect that to continue. So with that as background, let me turn it over to I think Gene is going to start off with a quick regional review on Europe and then hand it over to Mauricio and Graham.
W. Gene Musselman - President & Chief Operating Officer, UPC Broadband: Thank you, Mike. Turning to page or slide number eight to '07 highlights, you can see from the graph on the right that we added approximately $1.6 million organic net adds in '07, representing a 10% year-on-year increase. Driving that growth was primarily advanced services with triple-play customers growing by 89% to $1.4 million. We also leveraged our D48 platform, rolling out digital and DVR and Cablecom Austria and Ireland and we're currently in a process of preparing these markets for the introduction of VoD realizing further synergies from the common D48 platform. We also used our legacy platform to inherit it as part of the acquisitions to successfully launch digital and check the UPC footprint in particular, Slovak and Romania. And in Cablecom and Czech in particular, we enjoyed sizeable digital uptick accounting for 35% and 30% of UPC adds respectively. During the course of '07, and NL decelerated as a result of switching from a push to a pull strategy something that we have talked about before on these calls. On the other hand, I would like to point out that the overall quality of base improves significantly. Churn fell by 50% and ARPU increased by over a 102%, as we rolled out a full suite of products as they became available. Telephony was also a stellar performer, achieving record growth, adding 13% higher adds year-on-year and more than double '05, despite the fact that we have continued fixed mobile substitution. And then finally building on our strategy to be the speed leader, data remained our growth driver as Mike mentioned adding 559,000 subscribers and our speeds ranged, top speeds ranged in the neighborhood of 20 to 25 megabits per second. Looking at '08, for a moment, we are currently focused on launching D48 platform in Hungary and Poland. This will be accomplished in Q1 and Romania and Q2 along with the introduction of DVR and HDTV in these markets and time to benefit from the European football championships and the summer Beijing Olympics. Based on the success and growing NL digital ARPU, we are looking at polling forward advanced service rollouts across other markets as well. Also we are rapidly completing the upgrade of our two-way plants. By the end of this year, most of the upgrades will be completed to improve the quality of services and to drive our advanced service growth. Building on the success of our bundling strategy, we are in the process of simplifying our product portfolio with the objectives to preserve ARPU maintain the growth of our data and telephony products, through the introduction of megaspeed and all you can eat voice packages and then finally in Romania, we put into place what I think is a very aggressive plan to address the competitive situation and to improve our operational performance. Specific actions include introduction of a nationwide mass market retention offer with a highly competitive analog price point and the exchange for a two-year commitment. We will start rolling this out April 1 and in some cases we've already commence the rollout in areas and where we are experiencing heavy competition, that's happened in the last few days. We are pulling forward digital launches to 20 of our largest and midsize cities. The idea is to start on or about June 1. We've accelerated the two way plan up rates in order to get more new services into the market as quickly as possible and then finally we've changed the senior management team, almost in its entirety including the Chief Executive Officer. But at this point, I think we are really in a decent position to be competitive going forward in '08. With that said I'll pass it on to Mauricio.
Mauricio Ramos - President, Liberty Global Latin America and Chief Executive Officer, VTR Global Com S.A: Thank you Gene. During 2007, we continue to build strongly from our position of leadership across all our fleet products. As you know in our footprint, we are number one, in video, number one broadband and close number two in voice. We closed 2007 with 270,000 organics adds for 242,000 RGU additions. If you of course exclude analog conversions to digital. Also 12% rebase revenue growth and 23% rebased OCF growth for the year. We coupled healthy RGU gain and top line growth with cost control and the benefits of scale in Chile. All of this remain the key pillars, for they sustained OCF growth. You will also notice that this recipe also led to an OCF conversion ratio in 2007 over 70%. During Q4 in particular, we added 57,000 new RGUs to sustain rebase revenue growth of 13% and rebased OCF growth of 24%. Q4 was therefore another consecutive quarter of 20% plus OCF growth for us. It is important to highlight again that bundling remains a key engine of our RGU growth and of our financial performance. Our bundling ratio is approaching two times over a 39% of our customers now take a bundled triple-play product from us, up from 32% at the end of last year. But it is equally important to highlight again that we also continue to add new customers as well as video customers. During 2007 we added 52,000 new customer relationships against the 48,000 that we had added in 2006 and we added 49,000 video RGUs against the 45,000 that we have added in 2006. So we continue to both cross-sell to the system base as well as grow the existing subscriber base. For the long run during 2007, we completed the migration as we mentioned in the last call of our premium analogue base to digital, digitized our network in San Diego and the other key cities in Chile launched VoD DVR and HD services. We are now digital-ready across most of the country and has completed almost the key launches of the key digital products. The next step is what we discussed is driving digital penetration across the subscriber base. To this end in Q4 is the classic VTR triple-plaque was renamed and is now being sold on price as the VTR triple-plaque digital. This means that all our news sales are digital and as a result, our monthly conversion rate of analog to digital subscribers has now more than tripled on average to about 15,000 new digital use per month. And that also is a result, we closed 2007 with a 22% digital penetration of our video subscriber base. We have also started marketing our DVR product. In January approximately 5% of our video sales were including a DVR. Our number is increasing to 15% by mid February and we continue to see a promising and increasing trend there. To finalize, I guess I can only emphasize what we said on the last call that our product line now is a strong in companies as ever. Now we continue to see robust demand for our products and that we continue to be focused on digital migration bundling and cost efficiencies and that mix continues to makes us feel pretty good about continued 20% OCF growth. And with that said, I'll turn it over to Graham for Japan.
Graham Hollis - Senior Vice President, Liberty Global Japan: Thanks Mauricio. The big events of 2007 in Japan was novel restructuring and streamlining of interests. We split Jupiter TV into two, shop and the thematic channels. And exchanged our indirect shop interest for $855 million for the Sumitomo shares which we call it and borrowed against and as Mike said earlier, we raised $750 million for the cash. And then, we reinforced J:COM by merging the thematic channels into J:COM for another approximately 254,000 J:COM shares. J:COM has historically been under leveraged from our point of view. For instance, at December 2007, gross leverage was only a little over two-to-one. So to cure that, we decided to put on what you might call synthetic leverage on J:COM. So during the fourth quarter, we borrowed 75 billion yen at a wholly-owned OGI entity above J:COM and that took our pro forma share of the J:COM leverage up to almost 41 which is much more inline with our goals. J:COM has recently announced that they intend to begin paying dividends in 2008. While the amounts has not yet been decided, this together with the share repurchase they made in December is a visible sign of their commitment to shareholder returns. Operationally, the highlight of the fourth quarter was the launch of the 160 megabit high speed data service in the Kansai area and there we got a 25% take up rates in December. So it's been a very successful product. What we believe is that fully 40% of these customers adjourning from FTTH to cable demonstrating the cable is perfectly capable of competing with fiber. The challenge for 2008 is video growth and is an explicit J:COM priority. But you got to remember that is not a matter of J:COM loosing the competition. Because churn is low and the competition in Japan is weak. In particular, fiber remains unable to match our video offering for at least another year. And here are three examples of what J:COM is doing. They are revamping the channel line up, dropping unpopular channels, adding new ones, for instance the launch of channel Ginga [ph] this spring which is a venture with NHK to commercialize their library. They are diversifying the sales efforts to rely less underwrite sales and also exploring out of network opportunities. And one example J:COM has a contract with an MDU complex of about 3,000 units and what is normally considered prime fiber territory, where we already have over 3,000 RGUs, proving again the JCOM can compete effectively with fiber. 2007 saw the continuation of the regionalization at J:COM. We recently purchased control of Kyoto Cable and will integrate it with other cable west and plan site franchises to give regional scale of their of over 1.7 million RGUs and you should expect more mergers and rationalization in other J:COM areas in 2008. And this should improve the marketing and sales efforts and help to reduce overhead. Finally, Mediatti which is I think about the third or fourth largest MSO in Japan had another good year with OCF growing over 30%. And with that let me turn it over to Bernie to take you through the financial results.
Bernard G. Dvorak - Senior Vice President, Co-Chief Financial Officer and Principal Accounting Officer: Thanks Graham. If you turn to slide 12, just to take some quick snapshot of our performance over the last three years and through a combination of the acquisitions organic growth and favorable FX movements, we've achieved a revenue CAGER based on reported results north of 40%, since 2005 and OCF more than doubled over that same period. Specifically we grew revenue 39% in 2007 to $9 billion and OCF 53% to $3.6 billion and keep in mind these 2007 figures are based on 2007 FX rates and for reference the average euro throughout the year was $1.37 to the euro and the yen was a 118 to the dollar. For comparison purposes, over 60% of our 2007 revenue was generated in euro and yen currencies. In addition, the current rates in 2008, both average year-to-date and spot for these two currencies have appreciated meaningfully and the spot rate for the euro is nearing a 150 and the yen is a 106. As these rates stay constant, this will provide us to lift to our reported results in 2008. Turning to slide 13 and I will jump into more detail. Revenue for the fourth quarter and the full year grew to $2.46 billion and $9 billion respectively. In terms of rebase growth, we achieved rates of 7% for Q4 and 9% for the full year. UPC broadband realized 4% growth in Q4 and 7% for the entire year, and highlights from Europe include the following most of which Gene talked about. The growth, the first one is growth comparisons were negatively impacted by one time revenue benefits recorded in 2006 totaling $9.6 million from the Netherlands, which included $4.8 million in Q4 '06, that historic somewhat the growth rate between six and seven. We continue to experience an increasingly competitive environment in most of our European markets. ARPU and data and phone continue to trend downward and the impact of video losses particularly in Romania have negatively impacted our growth rate in 2007. However, we have taken the following affirmatives steps to stimulate revenue growth in our markets in 2008, including raising analog prices across a number of markets including a 7% rate increase in Switzerland, instituting selective price increases across the range of products and bundles and as you have heard from Gene, we are rolling digital out in Poland and Hungary, as well as advanced digital services in a number of markets. J:COM and Telenet continue experience high single-digit rebased growth rates for both Q4 2006 and 2007, and lastly our operations in Chile, let off separately reported segments with 13% rebased revenue growth in Q4 and 12% for the year. Turning to slide 14, we'll take a look at OCF. OCF for Q4 and the full year grew to $965 million and $3.6 billion respectively, which represents rebased growth of 15% for both periods. If you exclude Telenet, OCF increased 17% in Q4 and 16% for the full year. In Europe, UPC demonstrated mid teens growth with Western Europe growing 11% to 13%, while Central and Eastern Europe grew 19% to 21%.. Indulge and Telenet grew 6% in Q4, above 12% over the year. J:COM is over the 18% rebased OCF growth in Q4 up 14% for the full year. And once again, Chile remains our best separately reported segment on OCF as well with rebased growth of 24% in Q4 and 23% for the full year. Turning to slide 15, we'll take a look at OCF margin and conversion. One of tremendous successes in 2007, which Mike talked about has been our OCF margin expansion and OCF conversion or drop which is defined as how much of our incremental revenue falls to OCF. This is a key differentiate between us and the U.S. cable companies. In terms of OCF margin, we reached to 39.6% margin in 2007, which is up 360 basis points over 2006. Key drivers of this increase come primarily from four areas, first is the positive contribution of Telenet, which added about 110 basis points. Secondly we continue to realize synergies and efficiencies from businesses that we have acquired for example, Switzerland to Ireland, thirdly we are scaling our fixed cost in gaining a significant amount of operational leverage and lastly we are maintaining stringent cost controls and controlling our labor as measured by number of employees. If you look at 2008 and based on our guidance that Rick will discuss, we expect to meaningfully improve our OCF margin and exceed a 40% threshold in 2008. As we analyze our cost structure, our OCF conversion based on rebase figures highlights the fact that we are driving more of our incremental revenue to the OCF line. In fact, on a rebase basis in 2007, we achieved a 65% conversion ratio as compared to 50% in 2006. So the major take away in analyzing our 2007 results and then particular our OCF margin as if we are dropping most of our incremental gross margin to OCF. As we are keeping a firm lid on operating expenses in SG&A where particular focus on admin cost. Slide 16, breaks down our 2007 capital spend. The chart on the left depicts the components of our CapEx and as can be seen over half of our CapEx was success based which we defined as CPE scalable infrastructure. This category basically tracks our subscriber levels. Another 24% of spend last year was our networks primarily in the form of upgrades also some line extensions with 70% of risk related to upgrade. On the right hand side you'll see that network spend resulted in $1.2 million new organic two way homes of vast majority that new plan is 860 mega hertz which is crucial to exceeding future growth as we roll out advanced services. And some of the geographic breakdown 68% of these homes are almost 850,000 new two way homes on an organic basis on Europe mostly in Central and Eastern Europe which represented almost 680,000 homes. J:COM itself added 230,000 new two-way homes on an organic basis and Chili added over a 115,000 new two-way homes and just a side note that our plant in Japan in Chili is generally 750 megahertz. When you turn to slide 17, this shows free cash flow, as well as un-levered free cash flow before cash interest expense. Starting with free cash flow, we generated $515 million in 2007, an 86% improvement from $277 million in 2006. By now, we have changed our definition of free cash flow to exclude cap lease additions. We decide to make the change based primarily on the fact that this methodology paints a truer picture of actual cash movements and is more consistent with the definition of our peers. But we still disclose cap leases, so you can determine how best to assess. In terms of un-levered free cash flow, we add back cash interest expense of $887 million in 2007 to get to $1.4 billion of un-levered free cash flow, which represents an 84% increase compared to 2006. So, in summary strong growth on both of these metrics. With that I am going to turn it.... the balance of the presentation to Rick.
Frederick G. Westerman III - Senior Vice President, Investor Relations & Corporate Communications: Thanks Bernie. I am on slide 18, for those following along and we just wanted to update you on our tax position. At December 31st, we had tax loss carry forwards of $12 billion, and that was up 28% from year end '06 due mainly to the consolidation of Telenet. In 2007, we paid cash taxes of $76 million, that's less than 1% of our revenue and $54 million of the $76 million or about 70% of that related to J:COM. So a minimal tax is being paid in Europe and elsewhere. Perhaps it's obvious but this is a key focus for us internally. We think we have got a world-class tax team. Looking ahead, cash taxes are expected to remain modest outside of Japan and over the next three years, we are targeting approximately $100 million of cash taxes paid, again excluding Japan and while there are obviously a lot of factors involved, we think this is an achievable target. On slide 19, you will see a snapshot of our balance sheet. At December 31st, we had total debt of $18.4 billion up from $16.3 billion on September 30th. That's due mainly to the refinancing at Telenet, the synthetic leveraging of our J:COM equity interest and foreign exchange. For the year 2007, our average interest rate was slightly below 6%. We've got about 100% of our currency exposures on our debt at December 31st hedged and we have between 90 and 100% of our outstanding debt securities hedged for their lives and we have very limited maturities between now and 2012. In terms of our cash position, we had $2.5 of December 31st that was up $500 million from September 30 and it's important to note that $2.5 billion includes $500 million of restricted cash, which is basically set aside for the VTR bank loan in Chile. We had gross leverage of 4.8 times at December 31st, that's towards the high end of our four to five times target range and up from 4.4 times at September 30th. Turning to slide 20, our liquidity position continues to be very strong. At December 31st we had roughly $5 billion of liquidity consisting of $1.4 billion of cash at the parent company, $600 million at our operating subsidiaries and $2.9 billion of maximum draw availability subject to covenant compliance. Since year end 2007 we have repurchased nearly 400 million of stock which will obviously reduce our year-end cash balance and as we move throughout 2008 we will continue to look opportunistically to drive cash out of our subsidiaries for example as Graham mentioned J:COM is planning to pay dividend this year. At the chart on the right of the slide shows, our shares outstanding decreased rather dramatically since year-end 2005 down 27% as we have repurchased about 4 billion of our equity over that time period. We announced $500 million stock buyback program back on January 7th and up through February 21st, we had utilized $330 million of that and had about $170 million remaining. I think as everybody probably seen yesterday, we announced an additional $500 million which would put us at roughly $670 million of remaining availability, again as measured back last week on February 21st and so as we look at our liquidity position and our free cash flow prospects, we believe that we have plenty of capital and will have plenty of capital to make acquisitions and/or repurchase our stock. Many of you probably seen our guidance already but slide 21 lays it out for you. We are expecting rebase revenue growth in 2008 of 7% to 9% that compares to our actual result of 9% growth in 2007. I think most importantly the metric that differentiates us from other cable company is organic OCF growth, on this measure we are guiding to 14% to 16%growth the same guidance as we gave last year. Management is obviously incentived to drive this metric and so we are expecting another good year on the cash flow line. A quick point on phasing, we do expect Q1 will be our most difficult comparison for OCF growth. The first quarter of last year was our best quarter of the year with rebased growth over 16% and so not only do we have a difficult comp in Q1, we expect also to incur some cost associated with the significant digital efforts we have underway in Europe. In terms of CapEx, as a percentage of revenue, we are constantly looking to drive down this ratio and in 2008 we see it going lower compared to 2007, despite aggressive digital plans and our guidance is specifically arrange a 20% to 22% of sales. And then finally just a couple of softer points on RGU growth and free cash flow. We did not give specific RGU guidance this year, but we would say that we would expect similar levels in terms of net additions in 2008, as we had in 2007 and then on free cash flow we do expect to see a meaning full increase in '08 versus '07, but we are not going to give specific numbers. So with that I will turn it over to Mike to wrap things up.
Michael T. Fries - President and Chief Executive Officer: Great. Thanks Rick. I am on the last slide entitled why LGI? And I think at times like this it's important to try to reinforce your own and our own strategic and competitive advantages. That's also valuable perhaps to differentiate your business into where appropriate. So we try to do that here with roughly six key points and first of all on the macro level, because of our geographic diversity, we have been largely immune to either the real or perceived economic risks in the wake of sub-prime mess. Most of our markets are stable and growing well and we haven't seen any slow down or impact of the economies on our ability to selling our products. Secondly, our regulatory environments range from what I would describe as the benign to the favorable. We are not facing regulation, consolidation caps, discussions in fact the EU's seized cable as the little guy and is usually in our corner on those types of issues. Third, while our markets are competitive, we are not expressing sort of defensive CapEx that's been brought on by the HD and DVD wars here on stage between cable and satellite. We are generally the first to market with HD, we don't really have meaningful satellite competition in the vast majority of our markets. And our capital competitors are typically riding copper not fiber to the home. So we estimate that most... everything we spend is revenue generating, I think as Bernard pointed out. From an operating point of view, we are religious about driving more and more digital voice and broadband services into the home. Doesn't mean its going to easy, the competition is clearly heating up, but as I said before it's made us a better company, better at what we do, we've living with it and growing through it now for some time. So feel pretty confident of what we are forecasting here. And as we grow, net expense through M&A, we are seeing the benefits of greater scale as we start to realize efficiencies across our infrastructure and operating base, you can see in our operating cash flow, drop or conversion. You can see that in that in the improvement in operating cash for margins, and you can see that in our 80% increase in free cash flow. And lastly, we are liquid and we are geared to either continued consolidating assets or buying on stock and this is not a knee-jerk reaction to stock price volatility. Those of you known us know, we've been at this information of this company two and a half years ago and we're sticking to that game plan. So we certainly appreciate your support, no question like all operators in this business we had a work cutout force '08. But I don't like to speak for the management team here when I say we feel really great about that challenge. And at this point operator, we're happy to take questions. Question And Answer
Operator: Thank you very much sir. The question-and-answer session will be conducted electronically. [Operator Instructions]. And our first question comes from Jeff Wlodarczak from Wachovia.
Jeff Wlodarczak - Wachovia: Hey guys, I will limit myself to two questions. Mike do you feel very comfortable that if you grow at the low end of your 2008 revenue guidance, you will you be able to generate EBITDA growth within the range you have guided towards with that knowing on the bond, I guess in your words and then secondly, what's the reasonable long-term EBITDA margin target for you all? Thanks.
Michael T. Fries - President and Chief Executive Officer: Yes, I mean, it's a fair question, we give a range on revenue for a reason, because these business have variability to them and similarly we give arrange on OCF. I think there is a relationship there and what we have been -- what we have shown in the past is our ability to create additional leverage in our OpEx or admin costs or even our synergy estimates, to try to make up for any revenue shortfall. But we are not known at the bottom. We went to through this analysis for our Board not long ago and we made we showed every line item and what you'll find is that and I think Bernie might have said it. Nearly every dollar of gross margin is dropping to the OCF line because while we are increasing SG&A along with revenue growth and while there are certain other variable expenses that will necessarily increase along with revenue growth. There is a lot of opportunity to scale our IT base to execute on synergies from acquisitions and to be more efficient in our network operations in our headcount and things of that nature. So I would say we are nowhere near the bone. We are just running the business in a smart and efficient way and making I would say the right decisions about where to prioritize capital and expense. What was your second question Jeff?
Jeff Wlodarczak - Wachovia: What do you think of reasonable I'm not going to hold you to in the short term of reasonable long-term EBITDA margin target is for you are. Is 50%...
Michael T. Fries - President and Chief Executive Officer: Pardon me, we said in the last we the EBITDA margin was up considerably. I think if you run the math on the guidance we provided you'll see that EBITDA margins will be up again next year probably north of 200 bps or more. We don't see a reason why we can't continue not necessarily that clip but a pretty reasonable clip and I would say, I'm sure our guys want me to that, I can see it, yes close to 45% somewhere in the middle term here.
Jeff Wlodarczak - Wachovia: Great, thank you very much.
Michael T. Fries - President and Chief Executive Officer: Yes.
Operator: Thank you. And our next question will come from Vijay Jayant with Lehman Brothers.
Vijay Jayant - Lehman Brothers: Hi Mike. Two questions; I think the key point you made about the HD battlefield in the U.S. impacting CapEx and other side of is here. Can you just try to give us some context across your footprint where are we on HD? How many channels are available? What's the sort of penetration? I am assuming maybe some exposure in Ireland would be spite to be, but and so can you give us some context where we are and are you driving the bus on that or are you seeing any of the competitors even trying to differentiate on HD. And my follow up on that would be really as we can talk about your JV in China. Can you sort of talk about what that is and there was some other comments in the press that you are looking at the Russian market. Just some context on what that could be? Thanks.
Michael T. Fries - President and Chief Executive Officer: Yes well I think I'd first make sure that people understand that principal difference between the U.S. and let's say Europe, and that is if we are still in the early stages of developing the HD ecosystem if you will, clearly it requires people buying HDTV sets, programmers, investing in HD content and distributors like ourselves allocating bandwidth to that content. We are ready and willing and able where we roll out digital to make that happen we need the content in that slowly evolving no question and we need people to buy sets and that's happening. So it's really early days on HD and things like the Olympics of the European Cup Champion Soccer... Football Championships things like this create momentum around it. In the next shoot or drop to really drive HD is going to have to be broadcasters who are willing to spend a little bit more money to deliver in HD signal, because they are getting the vast majority of the viewer ship. Having said that we rolled HD products out in the Netherlands and in Switzerland and certainly Japan which is our most advanced HD market where we have I think about 15 channels already today and 100% of our digital boxes are HD ready. So, it varies region-by-region. My point is that we are ahead of the game. We are typically the only HD player in the market because there isn't either satellite guide or a satellite guide these wanted to go HD and the Telco's that we compete with are largely DSL based, DSL TV providers. And their ability to promote HD is limited with ADSL 2 plus speed of 8 to 12 max they all could be up there promoting HD. So we have an update in HD leader. We are an HD leader and that to me is being on your front foot and not your back foot. To be in China is our joint venture with the Beijing cable operator it's about 3 million cable service and we let them through some good intermediate parties and have preliminary agreed to assist them in the development and deployment of their high speed internet business. It's a scenario where they feel they need expertise and capital and where we felt would modest risk here we could get smarter about or this could be a very large initial market opportunity. It will, the investment dollars here are relatively small and the time frame to realize the benefits is relatively long. But I do believe that it's in a good exploratory effort for us and we'll keep you post of that as it evolves.
Vijay Jayant - Lehman Brothers: Alright,Mike, you might have find abilities a little bit on the HD?
Michael T. Fries - President and Chief Executive Officer: Sure.
Bernard G. Dvorak - Senior Vice President, Co-Chief Financial Officer and Principal Accounting Officer: In terms of the gentleman's question, we have two different set-top boxes one a standard definition HD and then we are just in the process now have been introducing an HD DVR with regard to the first box the standard depth, its been introduced into Cablecom, and with regard to the standard depth we have plans to roll it as well as the standard that box out in Poland, Hungary, Ireland and Austria, as we launch products into those markets and check, we also just recently introduced high-def blocks but it is not of the common platform and normally in our markets there is anywhere from about three or may be five or six channels available at the present time depending on the market itself. But we are trying to be out there for the summer Olympics and the European cup and we think HD and the DVR are going to be important drivers and drive take up and so we are pushing up into field as rapidly as we can.
Vijay Jayant - Lehman Brothers: Okay. Thanks so much.
Operator: And your next question will come from David Joyce with Miller Tabak and Company.
David Joyce - Miller Tabak: Thank you. I was wondering if you could gives us an update on how your business customer market has gone, if you can talk about number of subscribers on the various products, the revenue operating cash flow that sort of thing?
Michael T. Fries - President and Chief Executive Officer: Sure, Gene. I think we have said in the past. I think we said it on our Investor Day last year that we had pretty robust targets for our B2B business in Europe, excluding Telenet of about 260 plus of million of revenue. For the full year, we did about €256 million of revenue and brought in the gross margin of about 64% and only spent about 9% of revenue on CapEx. So, the business largely hit its objectives in 2007. But we are learning as we go here that no question this is a variable business model in some respect, as it relates to capital and that is a tougher business and tougher customer segment to penetrate. So I think we said last year was going to be one of our fastest growing revenue streams. It turned out to be one of our fastest growing revenue streams and we are doing quarter of the billion euros of revenue and we have pretty high hopes in the core markets, we operate in that we can continue to grow at kind of clip. You want to add to that Gene?
W. Gene Musselman - President & Chief Operating Officer, UPC Broadband: I'll just say, I guess that in terms of revenue, I think we are forecasting this year to increase by about 12% I think overall. Operating cash flow somewhere in the neighborhood of 25% and 27% that neighborhood at the same time improving our overall gross margins. And CapEx actually, we are looking at a decrease of about 10%, 12% in that area. We are heavily focused on the Internet and the telephony side, we see big opportunities for increases there, depending upon the countries but there is strong growth that we forecast in Austria and Cablecom Hungary, Ireland, Romania, there is good upside in telephony in Austria and Cablecom, Hungary, and in Ireland. Data growth is slowed in some of the markets because of the stiff competition, the hosting business remains more or less flat. I am actually leading for B2B meeting this evening after this conference call to meet with all of our heads of B2B from the countries and we are going to be looking at how we drive this business going forward, as you probably know it's a very competitive business and its one that I think it, we are still pretty in near fighting. On the other hand, I think there is a good opportunities to grow these revenue in our OCF. And I think from the numbers that I just mentioned that you can see that we're forecasting some fairly significant upside in '08.
David Joyce - Miller Tabak: Thank you and as part of that portion that rollout into the present brief and greater demand for your services as your network that you have been upgrading in place and the capacity to handle that or is there, are there efforts to move say that switched digital video to help free up some band with overall?
Michael T. Fries - President and Chief Executive Officer: No, I don't think, we have a serious capacity issue at the present time and may be that we will look at something like that in the future but, I think in the foreseeable future, I don't see any significant investments there.
W. Gene Musselman - President & Chief Operating Officer, UPC Broadband: I mean I think if you look at our plant generally lets say across a Europe, because we are providing anywhere from a third to half the number of the analog channels that an average U.S. operator would be providing. We have got plenty of extra bandwidth that's unallocated at this point. And you know, we worry about this point excessively as you would expect us to, we do not see a major rebuild, anytime in the near future, though we continue to explore options and opportunities where we think we can and there might be pockets of plan that need to be upgraded. But, in general, 860 plan is, well positioned and as we keep moving to Docksis 3.0 in terms of the four channel bonding and other revenues, we don't see that impacting either our broader network plan so. Next question.
Operator: Next we hear from Morgan Stanley and Benjamin Swinburne.
Benjamin Swinburne - Morgan Stanley: A couple of questions Mike your guidance implies an acceleration or it's the modest acceleration of revenue side from I think the fourth quarter, the second half of '07. I know you have, I believe you have rate increase coming through in Switzerland. Any other markets you wanted to highlight where we should be expecting an acceleration in revenue growth and maybe specifically, for you or Gene on Hungary. It looks like of voice business in market, it looks like revenue fell year-over-year, is that a competitive issues or wireless substitution or any other color that might be you think you can add will be helpful?
Michael T. Fries - President and Chief Executive Officer: Sure I will let Gene step in about the Hungary question. I mean the things that are clearly going to directly impact revenue this are some rate increases as you described in a number of markets like Switzerland and Austria included and certain other rate increases in Holland and Ireland and Poland and Czech, they are more CPI based and where necessary, we think we can equal a little bit of price rises at certain product areas. So that's going to pick and digital, as we have shown you with the ARPU push, we are getting in Holland where we roll digital out and we make the products and applications available, we drive ARPU and from that point of view, it is as I said earlier one of the two main drivers of revenue and if we continue to hit numbers on voice and data that we have been consistently here and I don't think we had two years of consistent voice and data. We can continue to hit that kind of growth and those are high margin products and clearly we have seen some ARPU erosion as people spin into down lower price services, but at the same time, we are also raising speeds and capturing whole new market of folks who want 20 and 30-meg and those products are not highly discounted. So I think the combination of those give us some confidence that we can rally back from the fourth quarter, which I think as Bernie pointed our had some analog in anyway.
Benjamin Swinburne - Morgan Stanley: Thanks
W. Gene Musselman - President & Chief Operating Officer, UPC Broadband: I think to add there, Mike with respect to rate increases, we actually have six countries that have grade increased built into their '08 budget and, that its analogue, this also includes the digital data in telephony increases in some markets, for example in the Netherlands, we have all four built in. And we have gone back already and met with those countries that really didn't have rate increases built into their budget like Hungary, Romania, Slovakia and Slovenia. We are experiencing more competition and we are talking a look at opportunities in those markets maybe, where you can raise rates, it's not so transparent. For example you can do tear up type changes on telephony and a couple of markets has actually have already agreed to do some modest increases, so I think there is some upside on the revenue opportunity that we didn't capitalize on in the budget to begin with. With respect to telephone, I think without going into the specifics I think it's a problem in general across Central and Eastern Europe. We got into those markets later with voice and they were never fixed line of market to begin with. They had very low penetrations as a result of coming out of communalism and they went to mobile straightforward. I just got off the telephone a few minutes ago with the Czech Republic and they have 120% mobile penetration there. Only 50% of the households have a fixed line today and you will kind of see that across all those markets and I think the challenge is to find develop an attractive bundle including telephony in order to drive that penetration and particularly pick up your usage, which means that you would probably in effect, either give it away in a bundle or price it in such a way that the incremental revenue is coming off of the usage of that phone.
Michael T. Fries - President and Chief Executive Officer: Yes I made... gave a comment earlier about 97% of our voice customers in Europe are taking at least one other product. Three quarters of them were actually triple play. So the voice product really fits nicely into the bundle and when you can offer, you need tight packages and things of that nature. It is really is sometimes the kicker in the bundle and increasingly a big part of it.
Benjamin Swinburne - Morgan Stanley: Thank you guys.
Michael T. Fries - President and Chief Executive Officer: Yes.
Operator: And our next question will come from Alan Gould at Natixis.
Alan Gould - Natixis Bleichroeder: Thank you. I have got a couple of questions. First for Mike. Do you consider Chello and the DTH businesses has a separate businesses or do they make sense to be part of the grand Liberty Global?
Michael T. Fries - President and Chief Executive Officer: Did you say at Chello.
Alan Gould - Natixis Bleichroeder: No just Chello. Does it make sense that the programming business inside of Liberty Global. Would it make sense to have that outside of Liberty Global? Does that make sense to have the DTH business co-mingle with the wired business?
Michael T. Fries - President and Chief Executive Officer: Yes historically, I think our view is that it has been in both instances the right strategic approach. Let me start with Chello. To a large degree Cello's ability to go out and acquire new programming services, launch new channels, make acquisitions is helped considerably by its relationship with UPC and the ability to bring a distributor to bear so to speak. I think from that point of view we also have a fair amount of management and cross pollination of skills and development applications across those two divisions. At some point as Chello continues to add scale and its adding scale quickly through acquisition and growth. There maybe an opportunity to make that separate, entity we'll see, we will see. But today I think it's nicely where it is and we are getting benefits both directions. The DTH business is expensive in Europe, historically serve the purpose of allowing us to provide UPCTV product in areas that either we didn't have a cable or had no cable at all. And, that business plan worked for a long period of time and in essence continued to work because there is still millions of homes that don't have access to cable in that certainly is that Central European region. Over time, we have to decide, do we start to cannibalize our products, the product development roadmap consistent, are there other DTH operators that we might want to partner with or work with, those are all questions that we continually ask ourselves. But at this point I think they both did nicely into the plan and we don't have any immediate plan to change that.
W. Gene Musselman - President & Chief Operating Officer, UPC Broadband: The DTH is an integral part of the cable operations. We provide customer care and other services to support DTH. So, if we look at it is as embedded. It's not separate.
Alan Gould - Natixis Bleichroeder: Okay and Gene I've got one other question for you. When I look at the price increases, the OCF growth has been terrific but the, but the RGU growth slow down a little bit as was expected '07 versus '06 and I look at switch some one which had a lower RGU growth in '07 versus '06 and now you are going to put a 7% price increase in. Are you worried what impact that price increase might have on RGU growth?
W. Gene Musselman - President & Chief Operating Officer, UPC Broadband: No, not really. It is generally for all practical purposes those rate increases have already been implemented effective January 1, and historically you will see the bulk of return within the first 30 days. We did see some spike in turn where we did implement increases but it's nothing extraordinary. I think a large piece of the slow down in our growth story last year was the fact that we had heavy competition in Romania and Hungary, as well as Czech and towards the end of the year from DigiTenna in the Netherlands and in Romania or in Hungary we introduced in late summer early fall a low cost analog tier as well as an economy tier on our DTH. In both cases we have seen the high churn that we are experiencing those markets arrested and actually have fallen below pre-competitive levels. We are just in the process of doing the same in Romania and I expect there are hopefully a similar experience there in fact we've budgeted the reduction of sharing across most of our markets this year because of the efforts that we are putting into retention which is considerable. So I think the rate increases are only going to drive incremental revenue and the roll off from those will be no more than what we've experienced historically.
Alan Gould - Natixis Bleichroeder: Okay.
W. Gene Musselman - President & Chief Operating Officer, UPC Broadband: Plus in Cablecom that was a negotiated rate increase more than a year ago with the regulator. So it was announced months in advance back in '07 and I think we already the took hit then
Alan Gould - Natixis Bleichroeder: Okay. Thank you very much, Gene.
W. Gene Musselman - President & Chief Operating Officer, UPC Broadband: You are welcome.
Operator: Thank you. And our next question comes from Brian Kraft with Credit Suisse.
Michael Mannarino - Credit Suisse: Hi. This is Mike Mannarino for Brain. Two quick questions. First on, sub growth in Ireland was a bit over slower than we had built into our model. I was wondering if you saw this picking up at all in the first half of 2008, and second, I saw on the 10-K that competition from KPN had expected to continue in the Netherlands. I was wondering if this was the DTT product. The DSL TV product or both? Thanks.
Michael T. Fries - President and Chief Executive Officer: Would you like to start with Irish question Gene?
W. Gene Musselman - President & Chief Operating Officer, UPC Broadband: Yes. I think growth is solid and what we both anticipated and primarily I think that's related to the fact that the rebuild and upgrade of the plant has taken longer and will take longer than what we've originally anticipated. There is a particular situation in the Ireland that we haven't incurred anywhere else and that is all the cables as the tax is of the side of the houses. Its not underground nor is it on telephone poles that's attached to the houses. And in order to change out amplifiers, capacity improvisers and those types of things, we often have to get owners permission to do so. In those cases where we can't, then we usually have to dig around those areas which is a time consuming process but we have people that are doing nothing but working with home owners in terms of gaining permissions with sometimes say weeks and so that is the cause that delay in the rebuild itself. Also the economy is kind of going south there particularly with regard to real estate and we built out a large number of homes that really haven't been occupied but as those would sell up, we would see particularly significant uptake in our new services. But I think it's only as timing or phasing issue. I think you will see us catch up, as we build up and upgrade the system in the Netherlands, the primary competition is DigiTenna. I think there are over 500 and some thousand subs at the present time. They have a reasonably attractive over the air product, I think we are selling it for 495, I think if I recall,
Michael T. Fries - President and Chief Executive Officer: 694.
W. Gene Musselman - President & Chief Operating Officer, UPC Broadband: 695.
Michael T. Fries - President and Chief Executive Officer: I think so, it had that 23 channels or 695, I remember.
W. Gene Musselman - President & Chief Operating Officer, UPC Broadband: 23 channels which is reasonably attractive on the other hand as you know over here it doesn't have the same quality that you have on a fixed system and I think you know the bulk of their subscribers are coming from areas outside of cable and going into weekenders and homes and boats and even taxi cabs in some cases. We are seeing a higher erosion than in the past, but I think it's containable and we have got a very attractive digital product out into the market now that I think that we are going to be able to continue to grow, as well as maintain our analog business.
Michael T. Fries - President and Chief Executive Officer: Their DSL TV product, I guess formerly known as Mine TV has struggled from the Get-Go. We estimate now, it's about 10,000 subs and with a largely and need to product offer and the you know the typical challenges around network stability and installation that we see in another IPTV rollout. So they have put most of their EGS and all of their EGS in this low end mass market product and I think we find that as we continue to bundle customers in Holland, they get much stickier year and if we are loosing customers, they are usually at the very low end single play or price sensitive customers and so all the things we're doing with our digital rollout are going to the stem net flow over time. Another question operator?
Operator: Thank you. And our final question today will come from David Kestenbaum with Morgan Joseph.
David Kestenbaum - Morgan Joseph & Co Inc.: Hey thanks can you just compare to contrast what you're doing on your D4A in Eastern Europe with what you did in Netherlands and talk maybe about the financial impact and then finally why you chose not to do in Switzerland? Thanks.
Michael T. Fries - President and Chief Executive Officer: Yes, a very good point and I will let Gene expand on it, but we use the word D4A in two different context. In Holland we dubbed the mass through a lot of digital boxes, the digital for all or D4A project. Outside of Holland, what we started to do is call the infrastructure the D4A infrastructure, so when we say we are going to roll D4A out in other markets, what we really mean is the D4A a box solution, the D4A middleware solution and D4A digital network solution, we don't need the D4A in marketing and rollout solution. So important distinction, we haven't duplicated the Dutch experiment anywhere, nor do we intend to. We use the word D4A to describe the platform, not the product offer. Does that get to your question?
David Kestenbaum - Morgan Joseph & Co Inc.: Yes thanks. Yes.
Michael T. Fries - President and Chief Executive Officer: Okay.
Operator: Thank you so much sir. And that is all the time that we have for questions today. At this time, I would like to turn the call back over to Mr. Fries, for any additional or closing comments.
Michael T. Fries - President and Chief Executive Officer: I will just thank you again. It was a long call today but, we had a lot say and as I said, we are encouraged about 2008, everybody on this call and highly motivated. So we look forward getting back on the phone through the course of the year. Have a great rest of the day. Bye-bye.
Operator: Ladies and gentlemen this concludes Liberty Global investor call. As a reminder a replay of the call will be available in the Investor Relations section of Liberty Global's website at www.lgi.com. Therein you can also a find a copy of today's presentation materials. Thank you very much for attending today's program.